Operator: Greetings. Welcome to the Second Quarter 2020 Financial Results and Business Update Conference for Yield10 Bioscience. During the call participants will be in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum. Thank you, ma'am. You may now begin.
Lynne Brum: Thank you, Donna, and good afternoon, everyone. Welcome to Yield10 Bioscience second quarter 2020 conference call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our second quarter 2020 financial results its press release as well as a slide accompany today's presentation, are available on the Investor Relations Events section of our website at yield10bio.com. Let's now turn to slide two. Please note that as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance and therefore, you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC, including the company's most recent 10-K. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. Now, I'll turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Good afternoon, everyone, and thanks for joining our call. Today, we will provide an update on the solid progress we have made against our R&D and business objectives since the start of 2020, including a research license with GDM seeds. Kristi will then review the science of our 2020 field test program and highlight some recent R&D activities. I'll provide an update on our Camelina business plan progress, review the financials and some of our -- summarize our key milestones for 2020. We'll then open the call to questions from analysts. Now, let's turn to slide three, our business profile. As most of you know, Yield10 is an agricultural bioscience company focused on developing innovations for sustainable food security. This includes performance rates for licensing and major food and feed crops where we are building relationships with major ad companies and improved varieties of oilseed Camelina.  Our Camelina activity is core to our trait gene discovery platform creative process and our platform for producing nutritional oils and PHA biomaterials. We have a strong leadership team in operations in Woburn, Mass and Saskatoon, Canada. Now, let's turn to slide four, recent accomplishments. We made considerable progress since our last call and that was in May, and I'm now highlight some of our accomplishments. We completed planting for 2020 field test program, which Kristi will discuss in more detail. During second quarter, we submitted an Am I regulated? letter of inquiry to USDA-APHIS for our CRISPR C3007 oil content boosting trade in canola. This is our fourth submission to the agency and significantly our first in a major crop. Earlier today we accounted, we signed the research agreement with GDM for evaluation of certain of our performance traits in elite soybean varieties. GDM is obviously in the Midwest as well in a large footprint in Brazil and Argentina where the leading seed company with the experts in soybean genetics. We and GDM also intend to explore forming a broader collaboration to leverage Yield10's screening, treating discovery platform and GDM's rapid trade editing capabilities in elite varieties of soybean and the discovery development and launch of novel soybean performance traits. I will provide some more detail on GDM later in this call. We took additional steps to develop and advance the Camelina business plan. We are developing proprietary advanced varieties of Camelina for winter and spring planting to provide us with core commercial lines for deploying and stacking performance of product traits. This will enable us to increase the acreage potential of the crop. Our Canadian team executed the field test of our winter Camelina varieties in the 2019/2020 season and the America's data looks very good. We get experience with establishing the value chain. We contracted 50 acres of Camelina production in Montana. The crop is being harvested soon and will enable us to produce oil and meal samples for potential customers. Moving forward through 2020 into 2021, we look forward to generating additional proof points, forming strategic alliances and executing our business plan. Now, let's turn to slide five for an update on our COVID-19 business continuity plan. First, a big thanks goes to our employees for keeping our business on track through the ongoing pandemic. And we wore masks as we returned to work onsite in late May on a site as schedule and pivot to development working Camelina implementing new technologies to accelerate trait and product development. The Saskatoon R&D team is focused on monitoring field tests and progressing traits to new Camelina pipeline. With continuing travel restrictions, we are relying on video conferencing and local consultants to monitor some field trials. In second quarter, we secured U.S. CARES Act, PPP and Canadian IRAP grant funding supported certain payroll expenses. Lastly, our business development and investor relations activities continue in virtual format. We continue to have productive interactions on the business development side as we focused on setting up various business relationships. On the investor front, we are holding one-on-one virtual meetings and looking forward to participating in the LD Micro Virtual Conference on September 1 and the H.C. Wainwright Global Investor Conference on September 14.  Now, let's turn to slide six, our trait factory business opportunities. Yield10 Trait Factory is made up of grain, a proprietary phasing discovery platform, genetic modification of the trait gene targets in Camelina and fast field testing to generate performance data. And let's turn to slide seven, our of business opportunities. Camelina field data on the performance of traits enables three distinct commercial opportunities. The first is licensing of a yield and performance traits for use of major row crops; corn, soybean, canola, and other crops equate option value for a trait and the most important largely rich global crops food and feed crops. Second is product sales based on our Camelina platform for producing nutritional oils in the near term and specialty oils in PHA biomaterials in the future. The strategic goal here is to develop the foundation for the Camelina products business in a capital efficient manner and then build onto that our packed higher value products. And third, collaboration agreements for access to a GRAIN platform for trait targets. Now, let's turn to slide eight, trait progression in major crops. The best way for Yield10 to capture value from its traits in the large acre crops like soybean, corn and canola is through licensing to leading seed companies. So, Yield10 has executed a number of non-exclusive research license agreement with Ag majors to progressive traits and specific crops, but the option to negotiate a commercial license. The arrows on the slide indicate the term of the research license agreements. With the GDM seeds announcement of the new research license, we have added GDM to the group of major ag companies working with the traits in different crops. GDM is a group of multinational companies of Argentine origin, dedicated to the research, development and commercialization of new varieties of soybeans and other crops to maximize productivity. GDM supplies around 25% of global soybean genetics. With around 750 employees, they have a presence in 15 countries, including Argentina, Brazil, Paraguay, the United States and Canada. South America has around 130 million acres of soybean located primarily in Brazil, Argentina, and Paraguay where GDM as a leader. With the R&D program plan by GDM, they should have field data in the 2022 timeframe, quite consistent with our other licensees. Yield10 is currently progressing creating corn and canola, our plan is to identify partners for these important North American commercial crops as we focus our internal resources on trait discovery and Camelina development. Let's turn to slide nine, rich traits in development. Trait licensing can be a very lucrative revenue source. At the model for sharing trait volume is well understood in the industry. It does, however, take some time for farmers to generate data to enable commercial licensing discussions. So, we don't control those timelines. At the same time, the oil seed Camelina a key component of our trait factory has high potential as a new crop. Progressing testing of our traits for the field stage in Camelina provides us with a direct route to improve varieties, basically a product double play. Unlike the major crops with Camelina, we do have the opportunity to participate really in the business, and I will discuss the commercial opportunities and their likely sequence of development later in this presentation. From the chart, it's clear that we believe using Camelina to produce proprietary products, including specialty oils and PHA biomaterials has very high revenue potential. I'll now turn the call with the Kristi.
Kristi Snell: Thanks, Oli and good afternoon, everyone. Let's now turn to slide 10. The objective of our 2020 field tests is to generate multi-site field data to further characterize our traits to identify commercial quality lines and to obtain data to drive partnership discussions and our products business plan. In the second quarter, we completed planning at our multiple field test sites in the U.S. and Canada. We've included photos from two of our field tests on the right side of the slide. These photos were taken in early July when both the Camelina and canola trials were flowering. So far the weather and fuel conditions have been favorable for growth of both our Camelina and canola lines. Some of the trials will be ready for harvest soon, and our contractors will continue harvesting sites as they are ready over the next month or so. In Camelina our goal is to obtain the performance data for trace design to increase oil seed yield, or to produce PHA biomaterials. We are testing our CRISPR C3007 trait designed to boost seed oil content in Camelina for the first time this year. We are also conducting seed bulk up for our CRISPR edited oil content trait line E3902. We reported encouraging increases in oil content in our 2019 field tests of each E3902. And this year we are producing field grown seeds for larger tests in 2021. We are also testing C3004 in Camelina, which is a very promising seed yield trait. It produced increased vigor, branching and seed yield in greenhouse from plants and showed evidence of vigor and increased photosynthesis in prior field tests. Here, we plan to obtain meal -- seed yield and oil content data. Recent measurements conducted by our researchers during this year's field trial suggested photosynthesis has increased in multiple C3004 lines.  We are also testing our PHA biomaterial traits, C3014 and C3015 in this field for the first time to evaluate the co-production of PHA and oil in the seeds. The purpose of this trial is to determine if the first generation PHA lines are suitable for larger scale planting next year to begin PHA product prototyping. In our field tests of canola in Canada, our goal is to generate data with our traits in this important food oil crop to drive partnership discussions. We are testing the C3004 trait in canola for the first time to determine if the increases observed in Camelina translate to canola. We are also bulking up seed for 14 new commercial quality seeds C3003 canola lines as an extension of our prior work, where testing of early canola lines gave increases in seed yields of up to 10%. We plan to evaluate these lines and field studies in a future trial. Our 2020 field test program is our largest and most extensive yet. The data and feed harvest from this program will help us advance our work in Camelina and may provide licensing opportunities and canola and other major crops. Let's now turn to slide 11, which outlines our 2020 R&D priorities. Completing our 2020 field trials remains our top R&D priority. In addition to this work, we are conducting additional activities in this field to support our Camelina business plan. As you are aware, we have been using our Camelina platform to identify and evaluate more than 15 potential performance traits for crops. As we plan for the further development and eventual commercialization of products produced in Camelina, Yield10 is developing core Camelina varieties needed to successfully commercialize the crop at large scale. Over the last few years, we have worked with several varieties and are building on this work with the development of doubled haploid varieties that will capture and sustain stable genetics and performance as a platform for our traits. Our team has developed to double haploids spring and winter varieties. The spring varieties are included in our 2020 field test program. The winter varieties were tested in a study that started in late summer last year, and were recently harvested. We recently reported that the reemergence and survival of the winter variety after the snow melt was very good. The photo is included on this slide of the winter trials taken in May about six weeks after snow melt.  We also recently announced that we established 50 acres of wild type spring Camelina under contract with the grower in Montana. This is a business development activity intended to provide us with experience in establishing the value chain for producing Camelina at commercial scale. The crop is pictured on the right during the flowering stage. It has now reached maturity, and it's drying down and will be harvested in the weeks ahead. From the seed, we expect to have oil and meal available for sampling to potential customers. Our traits are also being tested by several ag companies in their elite germplasm. GDM will be evaluating three of our traits in their soybean germplasms. We are impressed with the GDM team and we'll be providing them with the information and resources needed to deploy our traits and test them in their elite germplasm. We continue to support Bayer, Forage Genetics and Simplot as they evaluate our traits in soybean, forage sorghum and potato. Our generation of field test data with some of our newer traits may enable yield tend to expand the number of seed companies and crops, including canola and corn in which our traits are being evaluated. In Camelina, we're continuing to build a technology and business plan to develop advanced commercial Camelina varieties with yield and oil performance traits, complimented by traits for herbicide tolerance and disease resistance. We are also working to develop commercial events for our PHA Camelina traits. Our team is continuing to focus on generating technology proof points for our lead traits and to further develop our Camelina technology for specialty products. I would like to thank our R&D team for their tremendous efforts so far this year. Oli back to you.
Oliver Peoples: So, I would like to echo Kristi and the entire R&D team whose dedication and persistence will be critical as we have executed the field tests in the last few months. Let's turn to slide 12, our Yield10's Camelina platform. We believe Camelina represents an opportunity to develop a large high growth profitable business over the longer term as a winter cover crop to produce nutritional oils and PHA biomaterials. In the near-term, we see opportunities to launch a Camelina business, using a capital light strategy based on its positive attributes for some growing areas, using contract farming and toll seed crushing. Some of the traits we have developed in Camelina like the high oil line E3902, our yield traits like C3004 play into this strategy. And as a result, we're beginning to execute our business development strategy for Camelina to gain experience and establish the value chain with the goal generating near term revenue in parallel with accelerating the deployment of advanced varieties of products. Harvested Camelina seed is typically cold crushed to produce oil and protein meal, Yield10 plans to participate directly in the sale of these end products. Camelina oil is rich in the Omega-3 fatty acid ALA, and recent clinical studies indicate that Camelina oil has heart health benefits. The higher content of the Omega-3 alpha-Linolenic acid make it a preferred oil for use of agriculture feed. In the near-term we believe that Yield10 is well-positioned to become a leading player in the Camelina, focused initially on production outside of the Corn Belt to produce nutritional oils, without having to compete head-to-head for acres with commodity crops. In the longer term, our vision is to produce specialty oils with PHA biomaterials as a third product for processing engineered Camelina seeds. PHA biomaterials are natural polymers with applications in a wide range of markets where the guy nutrition, including animal nutrition, wastewater treatment and in bioplastics. Our goal is to be able to produce PHA biomaterials from Camelina and the cost range of edible oils to enabled the broad market adoption. We planned to focus our internal efforts on animal nutrition and water treatment applications and find partners for the bio-plastics opportunity. According to our internal engineering estimates, we would achieve a viable cost of goods for PHA if we can produce the polymer over 10% seed weight with good seed deals. So, although, it's personally very exciting to see this program move from the blue sky to the Greenfield, we estimated it could take another two years to optimize commercial varieties. Having said that, we are highly confident we now have the team, the knowledge and the tools, including the GRAIN trait platform, to develop this into a disruptive technology for the ag and plastics markets. We believe Camelina engineered produced PHA biomaterials will be an attractive, large acreage cash cover crop for farmers, opening new markets thereby improving farm income and the sustainability of food and feed production. Please start to slide 13 and let's cover a few financial highlights. We ended the second quarter with $8.5 million cash, cash equivalents and short-term investments. In April, we received a loan in the amount of $333,000 under the PPP, Payroll Protection Program, implemented under the CARES Act response to COVID-19. We fully utilized the funds to support U.S. payroll in second quarter and intend to apply for loan forgiveness under the program. We also obtained the Canadian IRAP grant that provides us additional $67,000 in research support. Now, turning to warrant exercises. In the first half of 2020, there were approximately $1.7 million warrant exercises which added capital to our balance sheet. We have no debt. Our net operating cash usage was $2 million for the second quarter and $4.3 million for the first half of 2020. We expect our cash on hand together with expected revenue from our current government grant will support our operations into the second quarter of 2021. Given the PPP and IRAP funds, as well as savings captured and anticipated for the balance of 2020, we are lowering our estimate of net operating cash usage to the range of $8.5 million to $9 million from the previous range of $9 million to $9.5 million. We are directing this investment toward executing the business plan. Let's now review the second quarter operating results. The company reported a net loss of $1.8 million for the second quarter of 2020 compared to a net loss of $1.9 million for the second quarter of 2019. Total research grant revenues in the second quarter of 2020 were $221,000 versus $318,000 in the second quarter of 2019. Our ability to conduct research under the DOE grant was not effective in a significant way in second quarter, and we expect to be able to conduct the research plan in the months ahead. In the second quarter of 2020 research and development expenses were $1.2 million and G&A expenses were also $1.2 million. This compares to $1.2 million of R&D expenses and $1 million of G&A expenses in the second quarter of 2019. At the end of May, we completed our obligations related to our unused legacy space on Woburn, Mass. In first quarter, we subleased excess space in our Woburn facility. As a result, we will be capturing savings going forward in 2020 on our facilities costs, while retaining sufficient space in our Woburn facility to grow our team as needed. For more details on our financial results, please refer to the earnings release and our second quarter 10-Q. Let’s now turn to slide 14 to discuss our upcoming milestones. In the remainder of 2020, we will continue to focus on the following milestones; executing our 2020 field testing program to generate -- make an yield data for C3004 in the Camelina as part of genome edited oil boosting traits and putting E3902 line and C3007 Camelina lines recently cleared by USDA-APHIS. We will also report results from these studies and plans for 2021. Progressing our traits in corn and canola while seeking to secure partners, supporting GDM, Bayer, Forage Genetics and Simplot in the evaluation of our traits in their respective crops. And we'll also be progressing the Camelina products business plan, including developing advanced commercial varieties with agronomic traits, including herbicide tolerance, disease resistance and oil and yield traits. Establishing agreements for logistics and toll seed crushing to provide samples of Camelina oil and meal for prospective AllState Partners, developing relationships with growers to enable seed larger seed bulk up and acreage expansion in the 2020/2021 growing season, pending success in business development. And finally, securing strategic industry collaborations and revenue generating commercial trait licenses. With that, I'd like to turn the call back to Lynne for questions.
Lynne Brum: Thanks, Oli. Donna, you can now poll for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Ben Klieve of National Securities. Please go ahead. 
Ben Klieve: All right. Thanks for taking my questions. First, a question on the GDM collaboration. Kristi, I believe you said that they'd be considering three traits. First, did I hear that correctly? And if so, what traits are a part of this collaboration?
Kristi Snell: You're correct that there are three traits, but we can't disclose what these traits are according to our agreement.
Ben Klieve: Okay. Got it. And then over to Camelina -- and you guys highlighted the kind of the commercial trajectory here kind of throughout your prepared remarks. I would like to hone in on one of the comments that was made -- the notes that was made where the launch case -- on slide seven where you notate that the launch case is potentially a 2021 or 2022 event. Oli, there's -- seemingly a lot that needs to happen between now and a launch in 2021, can you just kind of outline kind of the steps that you think could realistically be taken to make this a commercially viable product in 2021?
Oliver Peoples: Yeah. So, there is already some kind of lead up production out there. And we are well aware of who is doing it and where they're at with it. So, frankly speaking, what it really requires is seed scale up and really, that's the purpose of the 50 acres we did in Montana this year, just to make sure we have the seed available, should we want to go down that path as soon as next year. And so that's the first step. The second step is because the primary focus is on oil and meal in the early days, we also need to have oil and meal samples available for prospective customers, because Yield10 actually does not plan to start branding and marketing camelina oil with internet. Our goal is to find offtake partners for this and be as capital efficient as you can in year-over-year. So, there is a lot of business development goal. The reason that we're scaling up some of our new lines like E3902 and some of the doubled haploid lines is to also expand the availability of those seeds next year, as a means to have a larger acreage potential available in 2022. So, there is a tremendous amount of business development activity going on and obviously the team's working very hard to systematically check off the ability to create and operate core contracts, the ability to manage the sort of crushing on storage and handling of the oil and meal and obviously identifying potential offtake partners. We are getting interest from various regions interested in Camelina oil and meal. 
Ben Klieve: Got it. And so, I guess, as a follow-up to that then. I mean, if you have -- the harvest here is -- looks to be on pace for this month, which is great. And you've had conversations with offtake partners as a -- to sample the oil. Are there -- do you have agreements in hand whereby there will be folks looking at your product once it's processed? Or is that agreement still to be determined?
Oliver Peoples: To be determined, because it's kind of a chicken and egg situation, Ben, to be honest. Basically, without seed, we can't get into the business of establishing a crushing contract. So, we know have a very good understanding of where and how and the cost of doing that. And once that's lined up, we'll obviously go to the next step. The emphasis we have is really establishing these capabilities in a capital light way. You're not going to try to buy our way into the new business. We have new products, including specialty oils and PHA biomaterials that really will represent the growth and the larger volume opportunities. It takes time to get to those. And so, the purpose of establishing this is to make sure that we have the potential to deliver value here based on our camelina platform and the near term based on oils it makes today and in the future with improved oils and some specialty materials called PHAs.
Ben Klieve: Got it. Perfect. And then last one for me. And I think I know the answer to this. But Kristi, you highlighted that the canola field trials were progressing well. And we've seen industry reports that, that's true for the crop as a whole. But I just want to be 100% clear here. On your -- on the plots that are in the ground right now for canola, is there any -- are there any plots that you're concerned with regarding access to rain, not enough rain? Anything of that nature? I mean, are we right now looking like this is a field trial that is really well set for harvest here in coming weeks?
Kristi Snell: We've had very good weather this year, but we still haven't harvested. So, there's still a little bit of weather to be had. But we had very good weather so far, and we've been very pleased with the growth so far.
Ben Klieve: Got it. Okay. Very good. Well, fingers crossed -- mothers -- sorry -- Oli.
Oliver Peoples: As you know, last year was literally a disaster in the field. And so that obviously compromised our ability to report yield data on a couple of the traits. So, we are very encouraged by all of the trials that are ongoing this year and including -- basically the C3004 Camelina yield trials, oil contact trials with E3902 and with the genome edited plant seed. So, we have a lot going on. So far it's looking good.  And even the PHA trial is looking particularly attractive given how long Kristi and I have spent on it. It's pretty exciting to see this thing actually growing in the field and looking pretty good, given that we've spent a large chunk of our three years on it. So, we have a lot going on. And obviously anything could happen between now and actually having this safely harvested and then storage so we can do all the analysis. But it looks a heck of a lot better than last year.
Ben Klieve: Yeah. That last year was brutal for everybody. So, glad things are looking up this year, Mother Nature is cooperating. And thanks for taking my questions. And with that I'll get back in queue.
Oliver Peoples: You're welcome.
Kristi Snell: Thanks Ben. 
Operator: [Operator Instructions]  At this time, I'd like to turn the floor back over to you for closing comments.
Lynne Brum: Great. Thanks, Donna. And I'll turn it over to Oli for closing.
Oliver Peoples: Thanks, Lynne. So, in summary, we believe the GRAIN platform can be used to address a wide range of traits and a broader range of food and feed crops and enable the development of fast Camelina varieties for large scale production of proprietary specialty products. We are currently pursuing three distinct revenue opportunities. The first being licensing of our yield and performance traits for use in major row crops and product sales based our Camelina platform for producing nutritional oils and PHA biomaterials. And third, strategic industry collaborations and R&D revenues. I would like personally to thank all of you for joining us on the call tonight, and especially our shareholders for your continued support. Like everyone else, we are dealing with the challenges around COVID-19 with an emphasis on safety and business continuity. And so, I particularly want to thank our employees for the continuing diligent efforts. I want to thank everybody at Yield10 for setting us on track to reach our goals in 2020. And I look forward to providing further updates this year. So, have a nice evening, everyone. Thank you.
Lynne Brum: Donna, back to you. 
Operator: Thank you. Ladies and gentlemen, thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.